Operator: Good morning, and welcome to Skyline Champion Corporation's First Quarter Fiscal 2024 Earnings Call. The company issued an earnings press release this morning. I would like to remind everyone that today's press release and statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in the company's filings with the Securities and Exchange Commission. Additionally, during today's call, the company will discuss non-GAAP measures, which it believes can be useful in evaluating its performance. A reconciliation of these measures can be found in the earnings release. I would now like to turn the call over to Mark Yost, Skyline Champion's President and Chief Executive Officer. Please go ahead.
Mark Yost: Thank you for joining our earnings call, and good morning everyone. I'm pleased to be joined on this call by Laurie Hough, EVP and CFO. Today, I will briefly talk about our first quarter highlights, and then provide an update on activities so far in our second quarter, and conclude with our thoughts on the balance of the year. For the quarter, we delivered more than 5,000 homes, as we saw healthy demand from end consumers, and a return to growth in our retail sales channel. Despite good retail order intake, we are still seeing a pause in the community REIT channel, as they continue to set and finish their backlog of existing new home inventory. We expect this to continue through the end of our fiscal second quarter. The short-term pause in community ordering combined with the absence of FEMA-related sales, that were in our first quarter of last year drove year-over-year declines in both, production and revenue. In the current environment we, are aligning our plant production with order rates by channel. As a result of reduced volume leverage, margins continued to normalize to fiscal 2022 levels. I'm encouraged that our focus and our investment in enhancing the customer experience, streamlining our product offerings and transforming the way homes are built and bought, has led to a healthy margin profile, even at lower production levels. Additionally, the current demand environment has driven average lead times within the historically normal range of four to 12 weeks. Normal backlog levels help homebuyers lock in both pricing and financing and benefit -- benefits our direct sales channels to better meet the needs of their customers. Backlog as of July 1 was $260 million, compared to $308 million at the end of March. The sequential decrease in backlog was primarily driven by the continued pause in the community orders and order cancellations in California. Sales orders in our first fiscal quarter were up 28% year-over-year and quotes, which are our leading indicator of future orders, were up 44%. We also saw growth in deposits at our captive retail locations, driven by a 22% year-over-year increase in e-leads. Sequentially, manufacturing quotes were up 17% and orders were up 50% from fourth quarter levels, good trends given the pause in the community channel. During the quarter, we began production at our new manufacturing facility in Decatur, Indiana. This facility is a key investment in our broader efforts to innovate and streamline the production of our homes. In addition to traditional production at this location, we are ramping our R&D efforts in automating key production processes and we believe this positions us to demonstrate the full benefits of modular construction, specifically providing developers a turnkey solution at a price point, quality quality and speed for today's market. Also in an effort to support our channel partners we began offering floor plan financing to select channel partners with the intent of growing this portfolio throughout the remainder of fiscal 2024. This investment will ensure ample credit to those retailers and timely delivery of orders to the end consumer. Moving to the second quarter outlook, we expect the community REIT pause in ordering to continue through September as they catch up on selling existing inventory. Accordingly, we are going to pull back production at our community-focused plants to better align the timing of the community channel needs. As a result, we anticipate second quarter revenue to be relatively flat to slightly down sequentially versus our first quarter. Mid-term strong end consumer demand for affordable housing, positive REIT channel outlook and stable retail placements, support our confidence in continuing to invest in the ramping of new capacity in Bartow Florida, Decatur, Indiana and Pembroke, North Carolina. This additional capacity will help us serve the upcoming needs from the impacts of Hurricane Ian and the growing builder-developer pipeline. We are continuing to focus on our strategic initiatives by enhancing our digital tools, including our online customer experience and production automation investments. These long-term investments into our digital will not only be a better experience for the end consumer but will drive greater efficiency in our operations and make us the preferred channel partner as we drive more engaged homebuyers to our customers. I will now turn the call over to Laurie to discuss our quarterly financials in more detail.
Laurie Hough: Thanks Mark and good morning, everyone. I'll begin by reviewing our financial results for the first quarter followed by a discussion of our balance sheet and cash flows. I will also briefly discuss our near-term expectations. During the first quarter, net sales decreased 36% to $465 million compared to the same quarter last year in which we recognized $63 million in FEMA unit sales. The decrease in net sales reflects a lower number of units sold and a lower average selling price per home. We sold 4,817 homes in the US during the quarter, compared to 6,813 homes in the prior year period. US home volume was down year-over-year due to the absence of FEMA related sales and reduced production schedules to align with order rates. The average selling price per US home sold decreased 8% to $89,000 due to product mix and the decrease in material surcharges. FEMA disaster relief units sold last year carry a higher ASP than our core product due to the complexity of build. On a sequential basis US factory-built housing revenue decreased 6% quarter-over-quarter consistent with expectations that production rates would moderate to align with shifts in order activity from our community REIT customers. The number of homes sold declined by 2% and the average selling price per home decreased by 4% as core customers looked to maintain affordable monthly payments in the current interest rate environment opting for smaller and less optioned homes. Capacity utilization decreased to 56% compared to 59% in the sequential fourth quarter of fiscal 2023. Capacity utilization is being adversely impacted by newly opened plants, notably our Pembroke, North Carolina facility which opened in January and our facility in Decatur, Indiana which started production this quarter. Our teams at these plants are prioritizing training employees while tailoring production to current demand levels. This additional capacity will enhance our ability to service key channels such as our builder-developer channel. We also look forward to ramping up production in our Bartow, Florida facility later this year. Canadian revenue decreased 42% to $26 million compared to the first quarter last year driven by a 37% decline in the number of homes sold. The average home selling price in Canada decreased to $118,200 compared to $128,000 in the prior year period, primarily due to price reductions in response to changes in demand. Consolidated gross profit decreased 44% to $130 million, in the first quarter and gross margins contracted by 370 basis points versus the prior-year quarter. On a sequential basis, we saw gross margin decline 80 basis points. Our US housing segment gross margins were 27.6% of segment net sales, down 410 basis points from the first quarter last year, primarily due to higher margined FEMA unit sales, in the prior year quarter as well as lower core product sales volume, and a mix shift to homes, with less features and options allowing the homeowner to hit their monthly payment price point given higher interest rates.  SG&A in the first quarter decreased to $70 million from $72 million in the same period last year, due to lower incentive compensation expense and reduced sales activity, partially offset by additional SG&A costs from plant start-ups and acquisitions closed in fiscal 2023. Net income for the first quarter decreased 56% to $51 million or $0.89 per diluted share, compared to net income of $117 million or earnings of $2.04 per diluted share, during the same period last year.  The decrease in EPS was driven by the decline in sales and reduced operating leverage on lower volume. The company's effective tax rate for the quarter was 25.2% versus an effective tax rate of 25.7%, for the year-ago period. Adjusted EBITDA for the quarter was $67 million compared to $163 million, in the prior year period. Adjusted EBITDA margin of 14.4% compared to 22.4% in the prior year period, reflects a return to more normal profitability levels. In the near-term, we remain focused on maintaining efficient production lines as channel conditions improve and order activity returns to a more regular cadence. The structural improvements and investments made in our business have strengthened our operational capabilities protecting profitability in periods of lower output. That said, we reiterate our expectation that the mix shift by customers, looking to maintain affordable monthly payments in the current interest rate environment will continue for the remainder of fiscal 2024. Our expectations for margins landing near fiscal 2022 levels are driven by additional margin compression from the ramp of our three manufacturing facilities in North Carolina, Indiana and Florida. As of July, 1st 2023, we had $798 million of cash and cash equivalents in long-term borrowings of $12 million, with no maturities until 2029. We generated $75 million of operating cash flows for the quarter compared to $47 million for the prior year period. The increase in operating cash flows is primarily due to the working capital impact of producing FEMA units in the prior year. We remain focused on executing on our operational initiatives, and given our favorable liquidity position plan to utilize our cash to reinvest in the business and for opportunities that support strategic long-term growth. I'll now turn the call back to Mark, for some closing remarks. 
Mark Yost: Thanks, Laurie. As we manage through the rebalancing of our channels, we believe Skyline Champion is well positioned due to our affordable price points, strategic positioning and our core initiatives. The long-term outlook for demand is supported by the channel opportunities, with community REIT, manufactured-to-rent and builder/developer growth as well as helping our retail partners adapt to the changing consumer demographics. In addition, the need for affordable housing continues to grow and we believe that the elevated cost of housing, will drive more traditional site-built buyers to our homes. Before we open the lines for Q&A, I want to take a moment, to thank our people. The entire Skyline Champion team, as our consistently strong performance is a result of the amazing things they make happen each and every day. And with that operator, you may now open the lines for Q&A.
Operator: Thank you. We will now be conduct a question-and-answer session. [Operator Instructions] And our first question comes from Dan Moore with CJS Securities. Please go ahead.
Unidentified Analyst: Hey. Good morning. It's actually Chris for Dan. Thanks for taking a couple of questions. So maybe we just get a little bit more specific. So in terms of expectations for unit shipments as well as ASPs for Q2 versus Q1, could you help us out a little bit more directionally?
Mark Yost: Sure Chris and good morning.
Unidentified Analyst: Good morning.
Mark Yost: I think directionally we see 2Q relatively flat to slightly down in terms of unit shipments and I think ASPs slightly down as Laurie's been mentioning, just really due to changing mix to hit an affordable price point. So I think flattish to slightly down is, where we're thinking, primarily due to the community REITs and pullback in production at those plants specifically until they return to ordering in the September timeframe.
Unidentified Analyst: Got it. Very helpful. And from a gross margin perspective, you had kind of talked about Q1 going to be down. Q -- Looking, at kind of directionally for the next few quarters from a gross margin perspective, that same guide makes sense, or can you maybe just talk about margins a little bit further?
Laurie Hough: Hi Chris. Yeah. I expect gross margins to come down sequentially, in the second quarter and kind of get into that range of that -- 26% range -- 26% to 27% probably closer to the lower-end of the range as we bring on the new plants.
Unidentified Analyst: Got it. Very helpful. I’ll leave it there. And appreciate it.
Mark Yost: Thank you, Chris.
Operator: Our next question comes from Matthew Bouley with Barclays. Please go ahead.
Elizabeth Langan: Good morning. You have Elizabeth Langan, on for Matt today. So just kind of starting off do you -- would you mind talking a little bit more about, what you are seeing at the community order level? Obviously, said that things will be slower through September but do you have any visibility or any metrics that you look at that will kind of tell you when REITs and communities might start to reengage or is it more of a supply chain issue?
Mark Yost: Yeah. Good morning, Elizabeth. And thank you. The community REITs are still setting and finishing the current inventory that they've got. So it's a little bit of a supply chain issue. In terms of being able to get those units set finished and trimmed out at the community level, obviously we're having conversations with many of the community REITs who are talking about timing. But even if you look at the earnings releases of some of the public REITs, they mentioned where their inventory levels are and how quickly they're going through those inventory levels. And their timing anticipation is generally you know targeting that September timeframe is when they're going to kind of start to return to order. So I think its -- their sales pace, is phenomenal. So the end-consumer demand is excellent at many of the REITs. So it's not an end-consumer demand issue because the traffic is strong, their end demand for affordable housing is very strong. It really is just a -- they don't want to take on more inventory until they can get the units that they already have set finished and people living in them. Otherwise, they're just doubling down on finished goods inventory and tying up cash.
Elizabeth Langan: Okay. Thank you. That makes a lot of sense. And then, at the dealer level, would you mind talking a little bit about what you're seeing with their inventories and kind of how -- if there's any destocking or if it looks like there might be restocking?
Mark Yost: Yes, the dealer channel is through their destocking. I think our -- we've seen our order pace pick up 28% year-over-year, really driven by the retail channel, because in that 28% is a decline in community orders. So, the retail traffic is actually quite strong. They're not building up inventory. They're keeping things lean because of the higher carrying cost of inventory right now. But the end consumer demand at the retail level is quite good. We've seen our own captive retail deposit activity increase year-over-year, so deposits are up. So, I'd say, it's very encouraging in terms of what the retail channel is seeing today.
Elizabeth Langan: Okay. Thank you very much. I appreciate that.
Mark Yost: Thank you.
Operator: Our next question comes from Phil Ng with Jefferies. Please go ahead.
Phil Ng: Hey, guys. Mark, appreciate some color on the timing of orders coming back from your REIT customers, call it September. But help us think through what that actually means for your volumes, right? And give us a little more color on how to think about the shape of the year, particularly in the back half as it relates to revenue and potentially margins as well as you kind of ramp up some of that capacity?
Mark Yost: Yes. Thanks Phil, and good morning. You know I think the REIT channel will start to come back as I mentioned in September with orders. After that, REITs really they won't turn into production until, let's say, October, November. So I think you'll see relatively flattish revenue levels into the third quarter, because you get into the holiday season in December. So I don't think we'll be able to fully ramp into that. And then, revenues and volumes strengthening as we go into the first calendar quarter of next year, our fourth fiscal quarter. So I think it'll be relatively flat in second and third, and then kind of picking up in the -- in our fourth fiscal quarter of this year as those community orders really start to pick up and fill the backlogs and allow us to produce into those orders.
Phil Ng: And then on the margin side of things, how should we think about -- how that kind of moves through the back half of the year?
Laurie Hough: Yes, Phil. I think you know margins are going to come down sequentially, and then remain at that level through the end of the year.
Phil Ng: Okay. And you said, Laurie, 2Q gross margins are going to be closer potentially to that 26% level, the lower end of that 26% to 27% range. So, in the back half it could kind of breach through that 26% level. Is there a good way to think about a floor for you guys?
Laurie Hough: You know, I think that's probably the floor at the -- as bottom of that range. It might fluctuate, a few basis points, not substantially.
Phil Ng: Okay. That's impressive of you. You're managing through that pretty well. And then Mark, I was intrigued by your comment earlier about how you're offering some fourth plan lending and which lines up with a question I actually had. I believe a pretty large manufacturer home lender is being put on strategic review. Is that something that you would consider taking a look at? Two of your larger competitors do have a lending arm. Is that a void in your business? Does that put you in any disadvantage from how you compete and go to the market?
Mark Yost: You know, Phil, I think obviously we look at many things strategically. Really it comes down to the customer and the consumer and their experience. So many of our customers for instance said, they wanted a deeper relationship with us and a closer tie with us in terms of, if we are a preferred manufacturer for them and we offer them you know that they want a full suite of services, whether it's our set and finishing services we offer floor plan tie in. I think the more turnkey you can make the relationship with the dealers in some of our community and frankly the growing builder developer channel. What we're hearing from many of them is what can you do to be a full turnkey provider to us because the experience is easier to do business with. We make one phone call. So I think those alternatives are always on the table. But I think it really comes down to our real dedicated focus on the consumer and what they need. And so, if providing those financial services to them adds benefit to them and creates a better experience I think then we'll definitely focus in on that. 
Phil Ng: Okay. That’s helpful color. Appreciate it Mark.
Mark Yost: Thank you, Phil.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets. Please go ahead. 
Chris Kalata: Hi. It's actually Chris Kalata on for Mike. Thanks for taking my questions. For -- I was hoping we could maybe dial in on the SG&A outlook for this year. Laurie, I think, you -- last quarter you said you were expecting kind of fixed portion of SG&A be relatively flat. But I think the 1Q numbers imply some year-over-year increases on the fixed portion. So just hoping maybe you could dial in kind of the expectation for SG&A dollars for this year. 
Laurie Hough: Yes, Chris this quarter really had to do with the ramping of the new plants just relative as a percent of sales. And then we also have our investments in the customer experience and the back-end systems to support that. So that's running -- a lot of that long-term investment is running through SG&A as well. So I would expect SG&A going forward to remain at the levels that we saw in the second quarter and then obviously fluctuate as revenue picks up in the March quarter possibly on a dollar basis revenue going up. But for the second and third quarter, I would expect it to remain relatively similar to what we saw in the first quarter. 
Chris Kalata: Got it. That's helpful. And then I just wanted to follow up on the large builder customer orders that were supposed that were delayed last quarter. Any update there? Is it still a supply chain delay that you're seeing or you -- have you started placing orders through there?
Mark Yost: No, actually Chris I think we're -- we mentioned on the last call we expected those orders in August and September and we still anticipate those orders coming in August or maybe early September. By Labor Day we expect those orders to come in. So everything's on track. Everything's on pace. So we expect those orders any time now. 
Chris Kalata: Awesome. Great to hear. Thanks for taking my question, guys.
Operator: Our next question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead. 
Greg Palm: Yes. Good morning. Thanks for taking the questions. I want to maybe dig into various channels a little bit more. So maybe we can just start with what you're seeing at the retailer or dealer in terms of maybe go on a little bit more about traffic and order rates. But more importantly are we completely through the inventory destocking or are there still regions where there's certain issues? Maybe you can give us a little bit of a sense on what's going on geographically? 
Mark Yost: Yes. Good morning, Greg and thank you. I think the retail channel. Are there a handful of places where there's destocking happening? Sure. Is it impacting in a global sense? No. It's we're through the destocking at the retail channel. Order and order pace at retailers is up. We've seen kind of continued growth. Sequentially orders are up 50% quarter-over-quarter and that's really driven primarily by the retail channel as community -- the community channel which is 35% to 40% of our business is flat. So we've seen really good traction in retailers. I would say it's pretty consistent across the board. There's obviously slight variations in where retail is stronger than others. But I would say generally speaking retail traffic across the entire US and Canada is a little slower in terms of retail. But that's more economically driven, but I would say it's pretty dispersed. Communities is really where the pause is. 
Greg Palm: Yes and maybe that segues into my question on the REITs. I mean as you sort of look around do you get the sense that the pause if you want to call it that is driven by more supply chain setting crews? I mean how does cost of capital sort of contribute to all of this? I mean, I guess, I'll leave it there and I'll ask a follow-up. 
Mark Yost: I don't think cost of capital drives a significant portion of it Greg because many of the REITs are -- I mean they're changing their price point that they're targeting for the end consumer. But they're still able to hit a very good return hurdle for most of them, especially the -- I'll call it the heritage or legacy REITs who've been in the business for a long time. I think they've done a very good job at managing their capital stack and going through those processes to maintain that. Demand on the communities, if you follow some of the public communities or even talk to some of the others, they're having record sales periods. So end consumer demand is very good at their state. Right now they really are just trying to manage through -- getting through everything set and finished working through certain supply chain challenges, mainly with electrical transformers at new greenfield operations. But we're starting to see the opening of certain new greenfields. So stuff is coming online very encouraging progress on the community front. They just need to dig out of their own inventory today 
Greg Palm: And just lastly, in terms of visibility, anything that makes you believe that it is September and not October or November? I mean, is that what they're telling you directly or is that just your best sense given what you know today in terms of order resumption?
Mark Yost: It's a combination, Greg. So we're seeing the pace at which they're moving through their inventories in many situations. We've got our business development team is in kind of weekly communication with them. And so, it's been fairly consistent in terms of the messaging. I would also say that many of the REITs separate and distinct from one another are all targeting that time period. So it sounds like it's consistent through the industry in talking to and working with the different partners that we work with.
Greg Palm: Understood. Okay. I’ll leave it there. Thanks.
Mark Yost: Thanks, Greg.
Operator: There are no further questions at this time. I would like to turn the floor back over to Mark Yost for closing comments. Please go ahead.
Mark Yost: Thank you for participating in today's call. We appreciate the time and your continued interest. We look forward to updating you on our progress on our second quarter call. Take care.
Operator: This concludes today's conference call. You may disconnect your line at this time. Thank you for participation and have a good day.